Presentation:
Operator: Good day, ladies and gentlemen, and welcome to the Naspers FY 2016 results conference. All participants are currently in listen-only mode and there will be an opportunity for you to ask questions later during the conference. [Operator Instructions] Please also note that this call is being recorded. I would now like to turn the conference over to Meloy Horn. Please go ahead.
Meloy Horn: Thank you very much. And thank you, everyone, for joining us. On behalf of Naspers, I would just like to introduce you to the executive team on the call today. We have Bob van Dijk, our CEO; Basil Sgourdos, the CFO; Charles Searle, CEO for Listed Assets; Martin Scheepbouwer, CEO for Classified; Oliver Rippel, CEO for B2C e-commerce; Imtiaz Patel, CEO for PayTV; and then we also have joining Mark Sorour, our Chief Investment Officer; and Nico Marais, our GM, Finance. I would like to now hand you over to Bob van Dijk to start the call.
Bob van Dijk: Hi, everyone. Thanks all for joining us today on the financial year 2016 results call. So I will start off today and I’ll go into our strategic priorities and I’ll then hand over to Basil who is going to take us through the financials in detail and then later our different executives will come on and they will talk about how business progress in their segments has been. So if I can take you to slide number four, what we basically outline here is the priorities we have. And you will see that many of them are still consistent with what we communicated previously to you guys. But first and foremost, it’s extremely important for us to get to leadership positions in our main e-commerce models. Second, we deployed our efforts and our capital against business models that are growing very fast across the world. Third, we see increased scale in models where we have very strong confidence. Fourth, our product focus remains the mobile-first or mobile-only. And finally, we’re prioritizing to drive strong returns on our investments across the portfolio. To take you to slide five, it shows, for our key businesses, we have established number one positions in most markets. So if you take classifieds, we are in 40 countries of operation at this moment and 34 of those are number one positions. In B2C, we are active in 11 markets and we have a number one position in nine of those 11 markets. Then in payments, we lead in six countries and we’re actually gaining market share in most others. We know that leadership positions will drive for us superior returns over time. So if you look at the right hand panel of the slide, you will see that by now in terms of mobile app audience, we serve the largest audience in the world and we are more than twice as large as any other player in the industry. To take you to slide six, it shows how a number of the key business models that we are investing in have very strong operational growth dynamics. So in the first panel, it shows that even at the large-scale we are operating at, our classified listings still grow at almost 40% year-on-year. The second panel, it shows how our bus booking business, redBus, which is actually a profitable business, grew its ticket sales in the last year by more than 50%. The third panel shows for our mobile-only classified investment, letgo, that in a period of just three months, listings in the United States grew by almost 400%. In the fourth panel, it shows that our food delivery business, iFood, in Latin America, which also just turned profitable, grew orders in the last year by 148%. Now, to take you to slide seven, it illustrates how we’ve increased scale in our key areas of investment. So either we’ve done that through M&A and our retail investment is a good example of that, and in many cases we’ve done it through organic expansion. For example, in verticals, with Stradia and Storia, but also in our PayU business where we’ve seen very fast growth in a number of exciting markets and we know that further scale will improve economics for these businesses over time. So if I take you to slide eight, it shows why we continue to focus very strongly on mobile. So on the left-hand side, while on most fundamental drivers of the economy, change will actually be relatively marginal, it’s not the case for smartphone ownership. So we expect that to more than double in the next five years and that increase is mainly going to come from the key markets in which we operate. So if you look on the right-hand side, you see that our focus on mobile actually has translated into results. So our Naspers platforms, in aggregate, get now more traffic from mobile devices than they do from desktop computers and the total is now at 53% and increasing still rapidly. As you will see in slide nine, we also take action across portfolio to optimize returns. So where sensible to do so, we’ve shown that we are able to consolidate. And a good example of that is a recent merger that we undertook between letgo and Wallapop in the United States. But also internally, between eMAG and Fashion Days, we’ve combined forces all over Central Europe. In the second panel, we show that we have actually reduced our development spend in our current footprint substantially as our investments improve monetization and they require less investment. And Basil will go into more detail on that soon. In this final panel, you see strong progress in improving our unit economics. So, for example, we highlight our B2C operational expense per order, which is coming down significantly, as well as our iFood business as an example of scale and we just turned profitable in the latest quarter. I’ll now hand over to Basil, our CFO. He will take you through the financials.
Basil Sgourdos: Thanks, Bob. First off, you'll note that we've changed our reporting currency from rand to US dollars, so public reporting is now aligned with how we report internally. We continue our transformation from a single-country media business to a global Internet and media group, with 77% of our revenues now sourced outside of South Africa. Our shareholder base is also increasingly global and the vast majority of our peers report in US dollars. There has been some speculation that this is a preamble to re-domiciliation. We have no such plans. Given our extensive emerging-market footprint and the drop in EM currencies relative to the US dollar over the past year, performance was, of course, dampened by translation impact. Unlike in Video Entertainment, which had some large US dollar costs, the translation impact is less of a concern in our Internet businesses given local currency costs and a diverse geographic spread. Over time, we expect currencies to normalize. In our reports and in this presentation, we show you the impact of currency and also growth rate in constant currency. We believe this is a more accurate representation of the underlying health of the businesses not impacted by currency declines. As I work through the slides, I will focus on constant currency numbers except for Video Entertainment where, of course, currency has a significant impact. All amounts are again on an economic interest basis. That’s including our proportional share of associates unless otherwise stated. So if you could all turn to slide 11, you’ll see the snapshot of our financial performance. I think the headline numbers are very strong. We saw good topline growth of 22%, core headline earnings growth of 49%, both driven by strong performance by our Internet businesses. Investment spend went up by 14% as our etail associates spent more and as we embarked on a number of new initiatives. On the flipside, our more established businesses have continued to scale and that’s reduced their development spend. The Board has recommended an 11% increase in dividend, reflecting continued confidence in the long-term financial prospects of the business. Although we now report in US dollars, dividends will continue to be declared and paid in South Africa rand. So slide 12, we breakup the drivers of revenue growth. Our e-commerce businesses delivered robust topline growth of 24%, with a number of segments accelerating their growth. Tencent is firing on all cylinders and a good performance in advertising and mobile growth of 36% year-on-year growth. While the graph shows that Video Entertainment delivered 10% growth excluding currency translation, as mentioned at the start, given that the majority of the costs are dollar-denominated, we can’t ignore translation here. So once we include currency, revenues were down $400 million or 11% year-on-year. Our Internet businesses continued to grow ahead of the rest of the portfolio and they now account for 68% of our revenues, up from 61% a year ago. So looking ahead, we’re pushing for accelerated revenue growth in several of our e-commerce businesses. If we are successful, long-term growth rates will continue to remain robust. So on the next slide, we analyze development spend. So as a reminder, development spend consists of the trading losses of the operating units that we’re still scaling. The top graph presents the numbers on an economic interest basis and that includes our share of associates. The consolidated development spend on the bottom left graphic only covers subsidiary companies. But this distinction is an important one as we do not always fund associate development spend, while we do fund the consolidated development spend. On an economic interest basis, development spend increased by 14% on the back of $130 million increase in the spend by our etail associates and some $190 million investment in new initiatives such as letgo, ShowMax, and our Indian hotel business. In our more established businesses, we saw a decline of $200 million or 21% as classifieds, DTT, and other businesses continued to scale and reduce their losses. Overall, I’m pleased with the trajectory of some of our earlier bets. Excluding the impact of new initiatives this year, you will note that the consolidated development spend declined from $820 million to $515 million. On the bottom right, we show you the biggest contributors to our development spend is classifieds, making up 59% of the total spend. And the next largest is etail with 52%. 70% of that is driven by our etail associates. So on the following slide, slide 14, we break out e-commerce in more detail. Again, very pleased with the overall performance of the segment. As mentioned earlier, our topline growth was 24%, spurred by an acceleration in our travel and our classifieds segments. Classifieds continues to accelerate its topline and delivered 46% growth. The ambition is to further accelerate this in the coming year. If we deliver classified 8% contribution to total, e-commerce revenues could increase significantly. A strong push in hotels in India meant ibibo accelerated its topline growth to 67%. It also saw growth in redBus and its air travel business which is now profitable. In the top right, you’ll notice that etail makes up 62% of total revenues. It is the only segment where we have substantial first-party transaction. Our etail businesses are seeing an acceleration of their third-party sales, which over the long-term will improve margins and returns. As GMV mix continues to shift from first to third party, year-on-year revenue growth rates will decline. We expect, however, that GMV growth will remain solid. Allegro had an excellent year and Oliver will tell you more about that later. It’s a sizable business given its 50% share of e-commerce in Poland and it contributes 15% to e-commerce revenues. We also saw good contributions from eMAG in Romania. We are encouraged by the overall trajectory and a good start to the new financial year. Movile, which is captured under Naspers Ventures, delivered ahead of plan. As Bob mentioned, iFood has scaled rapidly and is profitable in Brazil. Trading losses increased year-on-year due to the investment in new initiatives such as letgo in hotels and in higher etail associate losses mentioned earlier. If you exclude these new initiatives, then ecommerce losses remained relatively flat at $547 million. And again, if you ignore – if you exclude the higher associate losses, which we do not fund, then ecommerce losses declined to some $340 million year-on-year. A number of e-commerce businesses are scaling rapidly and reducing losses. This is largely evident on slide 15 where we show you the performance of our profitable e-commerce businesses. We now have 21 profitable businesses. That’s up from 15 a year ago. The businesses are continuing to deliver strong topline growth at 18% and revenues are sizable at $774 million. Profits stood at $288 million. But, again, once we isolate currency, the number is close to $320 million and that represents a 48% year-on-year growth in constant currency. This all translates into trading margins at a healthy 37% and up significantly from 28% in the prior year. Then on slide 16, we analyze Video Entertainment financial performance in more detail. The segment has bore the brunt of falling commodity prices and EM currencies. Currency and loss of subscribers in sub-Sahara Africa drove an 11% decline in revenues to $3.4 billion and a 70% decline in trading profit to $610 million. We have implemented strategies to reinvigorate growth and cut costs. It will take time, though, to deliver a turnaround. So we started the year with 290,000 less sub-Sahara DTH customers and we also expect exchange rates to continue to weaken. And this will mean further revenue and trading profit declines in the year ahead. In South Africa, we have seen better performance, growing subscribers, topline and profitability. However, as we know, the rand has weakened substantially since December and the macroclimate remains weak. This could impact consumers and our financials. On a more positive note, development spend has declined by some $120 million as our DTT subscriber base grew and we saw substantial reduction in losses there. This was partially offset by an investment in ShowMax, our subscription video-on-demand platform. Content costs have come down by 8% in US dollars to just over $1 billion as the proportion of local versus international content continues to increase. Continued investment in local content will decrease vulnerability to exchange rates and improve our growth prospects. We continue to focus on improving content supply terms and optimizing the content lineup. That said, sports content costs, however, will continue to escalate and we expect this trend to remain. Our CapEx has declined substantially from $460 million odd two years ago to just $127 million in the current year as we complete the rollout of our DTT platform. So on slide 17, we analyze the M&A for the year. You'll note that the $1.5 million investment is about three times the annual average over the past three years. This is driven by the $1.2 billion transformational investment to step up and take control of Avito in Russia in December. The transaction was funded by a capital raise, which was also completed in December. We are very encouraged with Avito's performance and it’s actually delivering ahead of our own plans. You will note from the chart on the right that 89% of our M&A was in the classified segment. Naspers Ventures will continue to seek out opportunities that will be the catalyst for continued long-term growth. We have announced a couple of investments in the edu-tech space in the new financial year. So as you can see from the left side, M&A has historically averaged about $440 million per annum and we are comfortable investing at those levels. We'll continue to cast the net wide, looking for opportunities to create value. So on slide 18, we give you a more detailed consolidated income statement. You will again note, consistent with the comments made earlier, that consolidated revenues, trading profits and margins are impacted by currency translation and the challenges we face in Video Entertainment. Our finance costs increased by some $100 million, $50 million of that was FX and about $27 million was an increase in our interest expense, which is now $170 million. You’ll remember that we placed a new bond in July last year of $1.2 billion and it has a 5.5% coupon. Share of equity accounted results show a year-on-year decline primarily due to once-off remeasurement gains. If we exclude these, they increased by $60 million. The strong performance from Tencent is offset by the higher losses in etail associates that I mentioned earlier. We don't succeed in all that we do and we've recorded impairments of $341 million this year. $140 million relates to Buscape and we covered that at the interim results. We also took a further $88 million loss on the anticipated sale of our net retail business in the Czech Republic. Our impairment rate remains fairly steady at 10% of total capital invested. Taxation came down by $80 million and this was driven by currency translation and, of course, lower profits in sub-Sahara Africa. So on slide 19, we show you the drivers of the year-on-year movement in free cash flow. The $96 million reduction in operating cash flows is driven by the challenges in Video Entertainment. Prior working capital outflows arose primarily as a result of $60 million of cash trapped in Angola. There, our business is structured as an agency and we’ve experienced difficulty in securing US dollars to repatriate payments to the group. We also have a further $180 million in Nigeria, but, there, we’ve consolidated a subsidiary and it doesn’t reflect in working capital. So, in total, we have $250 million trapped in sub-Sahara Africa and that money remains exposed to counterparty and forex risks. I am encouraged by Nigeria’s decision to move to a floating exchange rate and our hope is that we will be able to take some of that cash offshore. That said, we do expect to realize losses as exchange rates continue to weaken. In e-commerce, we have seen good improvements in working capital as our businesses continue to scale. As mentioned earlier, our CapEx continues to decline and the Tencent dividend has also increased. And the combination of the two has delivered an incremental $100 million in operating cash flows. So, finally, on slide 20, we analyze our net gearing. You will see that it's at a low of 12% and that our $3.5 billion RCF remains unutilized. So we have ample firepower to fund our development and M&A initiatives for the coming years. Just as a reminder, we extended the maturity of that facility to 2020 and we reduced interest costs by 50 basis points to LIBOR plus 1.25%. As Bob mentioned in his introduction, we'll continue to focus on allocation of capital and we'll continue to optimize our portfolio and drive returns for our shareholders. With that, I’ll now hand over to Oliver Rippel, our CEO of B2C.
Oliver Rippel: Thank you, Basil. I will now give an update on our B2C segment on slide 22. To recap, we define B2C as transactive business to consumer shopping destinations where we sell directly to customer or offer marketplace services to merchants and buyers. We continue to be excited about B2C as the single largest revenue opportunity in e-commerce. Our strategy is to work with our local entrepreneurs to build the right foundation and scale for our businesses at the right margin and cost profile. At scale, B2C businesses can be very cash generative, which further allows us to invest into adjacent markets and business opportunity. In the past year, we have grown our B2C revenue by 24% if you exclude currency impact. Our B2C portfolio consists of local and regional strongholds in Europe, Asia, and Middle East Africa, with Europe about two-thirds of the GMV mix, driven by our Allegro and eMAG businesses. On the next slide, let’s talk first about the Indian B2C markets and our Flipkart investment. India has significant market potential in B2C, up to US$220 billion in ten years according to market estimate. Especially given limited structured offline retail in the market, the opportunity for e-commerce in India may be disproportionately higher than in other more structured markets. This has attracted many operators and investors, including Amazon, that are competing with Flipkart for market leadership. Flipkart has a leading mobile presence with over 50% of time spent amongst the leading horizontal B2C players in the market, with mobile active users growing by 59% year-on-year. In addition, Flipkart also has an advantage in logistics due to Ekart and a lead in fashion due to the combination of Myntra and the fashion categories on Flipkart. Moving forward, the company will focus on continuing to provide the best customer experience to Indian shoppers. Now, moving on to our Allegro business on the next line, Allegro is the number one shopping destination and number one Internet brand in Poland, with about 20 million registered users, over 100,000 active B2C merchants on the platform, and a brand recognition of over 90%. As Basil mentioned earlier, we had a very successful year at Allegro, re-accelerating the growth rate to 12.2% year-on-year, while maintaining high profitability at PLN462 million trading profit and PLN370 million free cash flow. In the past year, we also launched direct selling on Allegro to fill supply gaps and further improve service quality on the site. Finally, let me please give you now an update on our Indian travel business on the next slide. Travel in India is a sizable segment of e-commerce. It currently accounts for approximately 50% of the total Indian e-commerce market. Moving forward, the online travel agent market is growing at a five-year CAGR of 16%, driven mainly by the hotels sector growing at approximately 35%, given the large number of hotels in the market and the currently lower utilization rates in India, which is expected to receive a boost especially through the mobile channel. ibibo has a leading position in the OTA based on number of transactions and offers all relevant type of travel, such as air, hotel and bus. In the past year, we have outgrown nearest competition in all travel categories and, on an aggregate basis, have grown 55% in fiscal year 2016 versus 12% for the competition. We are also in a number one position in both hotel and bus. We have recently committed another US$250 million of capital to further extend our leadership position by deepening our penetration across India, adding new categories of accommodation providers, increasing reach and penetration of our mobile app, and last but not least, continuing to drive tech innovation and service differentiation. I will now hand it over to Martin to talk about our classified business.
Martin Scheepbouwer: Thanks, Oliver. So on page 26, let me start off by recapping why we are in classifieds. Online classifieds, especially, were the result of formats embedded in local C2C trade, addresses an almost universal human need. Typically, on the classifieds platform where you would sell unused items to someone else, both parties leave the deal happy. The seller declutters his house. He got some money for it, whereas the buyer was able to obtain something at a significant discount to new. Expand this principle across millions of new items placed every day, it becomes clear that classifieds has a major impact on local communities and societies at large by lowering the demand for new goods. Considering the considerable network effect in classifieds, as markets mature, most often a large winning platform emerges, which is able to capture its value share of this trade and translate it into substantial revenues and high margins. Turning to page 27, OLX is our main brand. It has amassed a large footprint over the last years, driven by organic growth and rebranding in some markets. The OLX Group is now present in 40 markets globally, with in-country teams in about half of these. And our focus is on building engaging mobile products, illustrated by our performance in app stores. Average rating in Android is 4.3 and we are leading positions in 20 countries, up from 17 last year. All this is done at growing scale, with a total of 1.7 billion monthly visits in March, generating a total of 35 billion page views. So let's turn to page 28. The foundation of our strategy in classifieds is a global operating platform built on technology, people and brands. Crucially, we put native apps and user retention first and have been able to decrease time to market of world class product solutions by selectively consolidating technology. In OLX, the power of this operational platform is geared towards building winning horizontal platforms and subsequently monetizing these. Strategic priorities and key operating metrics vary by market maturity. In addition, we have made steps to extend our footprint, such as vertical formats help us to monetize horizontal positions better by providing a dedicated experience in high involvement categories such as cars or real estate. And letgo is an app-only classifieds format focused on the US. And with the acquisition of the controlling stake in Avito, we now have a benchmark classifieds operations in-house. Please turn to page 29. Through our continuous focus on operational excellence as well as the mergers with Schibsted in selected countries, we have dramatically improved our operating leverage. Over the last four quarters and on a like-for-like basis, we have accelerated revenue growth, while reducing marketing spend by more than 10% versus prior year. Let me make a small correction here. The growth in constant currency shown in the left graph, the numbers between brackets should be 48% and 67% for H1 and H2 respectively. I’m sorry about that. Turning to page 30, on the top graph, you see that in the last 12 months, we have shifted from market expansion to consolidation. We now have 34 markets in leading positions, of which ten are currently monetizing countries [ph] – Russia, the UAE, Portugal, Brazil, Poland, Bosnia, Bulgaria, Romania, Ukraine and Ecuador. And recently, we entered the large US market through an investment in letgo, an app-only classifieds format which is showing good early traction, and I’ll come back to that in a second. Most of our resources are spent on executional excellence, especially in mobile. In March, on a year-over-year basis, this has translated into a healthy growth of 34% in listers and 38% in new listings on aggregate. Let's move to page 31. Poland has been a star-performing monetization country for years now. In Poland, we operate OLX as a horizontal, flanked by two verticals, Otomoto in cars and Otodom in property. This allows us to reach synergies in technology, traffic and commercial proposition. As a result, we've been able to grow revenues at 70% to 80% on a year-over-year basis. Page 32, like OLX Poland, Avito has been monetizing for several years now. Over the last four quarters, revenue growth had accelerated and outpaced user growth, driven by continuous optimization of value-added services, expediting and the introduction of listing fees. Margins remain high in spite of continued investments, especially in the cars and property verticals. Turning to page 33, after Eastern Europe and Russia, Latin America is emerging as the next region for monetization. With healthy growth across the board, our positions are maturing fast and now only three to four years behind Poland. This fiscal year, monetization has started in several countries, led by Brazil and Ecuador. Please move to page 34. India is a key early market for OLX, in which we had to deploy significant capital in the last fiscal years. This investment has been put to very good use by out-executing our main competitor, Quikr. That is illustrated by our relative growth and brand awareness, visits, engagements, and C2C list. Going forward, our focus will be on further maturing the classifieds market, which is still relatively nascent. Finally, I would like to point your attention to letgo on page 35. With Naspers’ backing, OLX Co-Founder Alec Oxenford launched letgo in the US around a year ago. What we wanted to test was if we can gain ground by expanding the classified market over an app-only product proposition, the area of weakness over incumbent Craigslist. Driven by a well-received product, with stellar response to its initial marketing campaigns, letgo reached the top-three position within the app-only segment within a few months. Last month, we announced the intended merger with competitor Wallapop, which will be beneficial for US users by improving liquidity. Driven by this impetus and knowledge-sharing with Wallapop, we expect that this merger will accelerate letgo’s after-market [ph] leadership. Thank you for your attention. I’ll now hand over to Charles.
Charles Searle: Thank you, Martin. Turning to slide 36 and Tencent. Just a reminder to everyone that Tencent’s financial results are reflected in the Naspers account on a three-month lag basis. And I would encourage you to visit the Tencent Web site for details of their Q1 results for 2016 year that were released in May. Now, as Basil mentioned right at the start, Tencent delivered another excellent set of results, with total revenues of RMB103 billion, generating operating profits of RMB41 billion which is up 33% year-on-year. Now, good progress has been made by Tencent in executing, what it calls, its connection strategy. And this is whereby it seeks to capture opportunities brought on by the mobile Internet. In the process, Tencent has further extended Weixin and Mobile QQ from what were principally social communications tools into broad-based connected platforms. And this has proved very useful for games publishing, social advertising, premium content distribution as well as the provisioning and delivery of a wide range of other services. There are four broad strategic areas that are continuing to shape Tencent’s businesses. In social, as you can see on the bottom right chart of the slide, Weixin and WeChat registered a combined 762 million monthly active user accounts – so this is the end of March 2016 – which is a 39% increase year-on-year. QQ also maintained user growth and this is particularly amongst the youth segment. So in addition to the distribution of games and digital content, a massive volume of traffic is generated on these platforms, which feeds Tencent’s social advertising business which has more than doubled its revenues over the last year. In games, Tencent maintained its leadership in key PC game genres and recorded rapid growth in smartphone game. Tencent is working hard with games developers globally to bring best-in-class mobile games to its users and is also developing e-sports tournaments in both China and internationally, which very much helps to build fan communities and reinforce gamer loyalty. In media and content, digital consumption via smartphones, especially of news, sports and video content, strengthened Tencent's traffic leadership on these platforms. Tencent has also begun to monetize its mobile news services via increased ads and is building out subscription businesses for premium content served on its various video, literature and music platforms. Looking at the broader ecosystem, the explosive rise in social person-to-person payments drove the strong growth of Weixin and QQ payment services over the past year. The gifting of digital rate envelopes via Weixin and Mobile QQ has become a major tradition during the Chinese New Year, and increasingly, this has extended itself through the year itself. And what is quite remarkable, a total of 38 billion rate envelopes were exchanged during the five-day Chinese New Year in February of this year. In addition to this, Tencent is also working with select partners to broaden its wealth management product portfolio and also introduce micro-loans through WeBank. So, overall, looking back, it was another excellent performance by Tencent. Turning to slide 37 and Mail.ru, similar to Tencent, remind you that Mail.ru’s results are also reflected in the Naspers accounts on a three-month lag basis and you can have a look at the first quarter trading update which was released a couple of weeks ago which is available on the Mail.ru corporate Web site. Mail continues a positive growth trajectory, albeit at a more modest pace. Headwinds, as a result of the tough Russian economic environment, has had a negative effect on revenue growth rates generally and, in particular, on IVAS and gaming revenues which recorded single-digit growth year-on-year. The advertising performance, however, was better with growth reflected of about 19% year-on-year. So, against this backdrop, total revenue grew 11% year-on-year in rubles, whilst EBITDA increased by 8% to RUB18 billion. Overall, the structural drivers of Mail.ru business remain largely unchanged. They continue to build products and services in line with what they call their communication and entertainment strategy, with mobile users of its leading social network platform, being Vkontakte and Odnoklassniki, now exceeding those on desktop. Mail.ru's myTarget ad platform has opened up the mobile advertising market in Russia and is recording very good growth rates, especially on Vkontakte. I shall now hand you over to Imtiaz who will take you through the Video Entertainment result.
Imtiaz Patel: Thank you, Charles. I’ll talk to you through the Video Entertainment business and I’ll start out by telling you that despite strong economic headwinds and growing competitor activity, Video Entertainment remains well-positioned. We continued to respond to our customers with an outstanding product offering, whilst we contain our cost to deliver. Through MultiChoice South Africa, MultiChoice Africa and our recently-launched ShowMax offering, our Video Entertainment division brings quality entertainment anytime, anywhere and on any device. Our people and customers remain a key focus area and we have ramped up our customer interactions and enhanced our key local management teams within each of the countries in which we operate. Our TV-everywhere strategy is offered through the DStv Now service, an application offering our premium customers access to over 800 hours of catchup content and 45 linear channels via their mobile devices. The DStv catchup service takes the Internet in a world where there is a lack of true broadband and it has now been made available to DStv Compact subscribers, providing up to 180 hours of on-demand viewing. Box Office, MultiChoice's video-on-demand service, continued to grow with a monthly average of 615,000 movie rentals. The catalogue contains 3D titles on the DStv Explorer and an average of 150 titles online. ShowMax is our subscription video-on-demand service in Sub-Saharan Africa. It was launched in August 2015 and offers a comprehensive selection of movies and TV series from leading Hollywood studios, as well as local African shows produced on the continent. Customers are able to watch ShowMax on mobile devices such as smartphones and tablets, on laptops as well as smart TVs and other media players such as the latest generation of AppleTV. The download capability allows customers to watch content on the move or when they do not have an adequate internet connection. Customers pay ZAR99 a month by credit card in South Africa or $7.99 in the rest of Africa for this service. ShowMax is performing well in a market where competitors such as Netflix and several local services are already operating. ShowMax performed to expectations and showed good growth in the Southern African market post its launch and we have launched the service across Africa late in the financial year and we will continue to explore new markets. We continued to experience regulatory pressures in the South Africa and MultiChoice Africa businesses and we will continue to cooperate fully with the relevant regulators. On slide 40, you will see that the Video Entertainment segment grew its total subscriber base by 2% over the financial year. Through our various product offerings, we bring quality entertainment to more than 10 million subscribing households across sub-Saharan Africa. Our mix of subscribers continues to shift somewhat as we continue to sign up customers from the middle to lower income households. On slide 41, you can see that sub-Saharan Africa has been affected by difficult macroeconomic conditions, as Basil has already referred to, and this has happened across the continent. A sharp drop in commodity prices, electricity shortages, crippling drought and limited liquidity have all conspired to place massive pressure on these economies, on the currencies, and on consumers’ disposable incomes. As we bill our customers in local currencies across the continent, the 24% weighted average decline relative to the US dollar over the financial year has hit our DTH business hard. In an effort to maintain absolute dollar pricing, we push price increases through in many markets. As a result, we lost DTH subscribers in a number of markets as consumers were unable to absorb the increases in tough macroeconomic circumstances. The impact of these factors are shown on the graph at the left-hand bottom of slide 41. The combined effect of negative DTH subscriber growth in sub-Saharan Africa and weak currencies have resulted in subscriber revenue declining 9% year-on-year. Currency depreciation continues to impact our cost base. We have managed to contain our cost base by covering our forex exposures forward and implementing aggressive cost cuts. On slide 42, continuing with our rest of Africa story, our DTH business was most affected, as I said, by macroeconomic headwinds. And net decline in the customer base was aggravated by ARPUs declining 11%. The mismatch of local billing and costs incurred in dollars, coupled with increasing pressure on content cost as competitors drive content costs up, has impacted margins negatively. It has had a knock-on effect on operating cash flow which declined substantially despite CapEx remaining stable. Limited to low liquidity markets like Angola, Nigeria, and of late Mozambique has also affected our ability to expect cash from those markets, as Basil has already alluded to. During the latter half of the year, we implemented various strategies based on extensive research and data to stimulate growth in these markets. We expect to make further adjustments to our model and stimulate further growth as we learn more. Initial fundamental adjustments to our content mixes help reposition the brand and it has resulted in good growth in the base over February and March. We've put through minimal to no price increases in April 2016 and we will maintain this approach for as long as is feasible. Aggressive cost cuts will support the stance for the remainder of the year. On slide 43, we talk about our Mail [ph] DTT business which showed good growth this year, with 147,000 subscribers added to our closing base. Development spend and CapEx reduced by 75% and 64% respectively as the platform improves and our focus turns to retention and further growth. We did not budget for any analog switch-offs in the year gone by and we will continue to operate as if no ASOs are planned. We do anticipate ASOs to happen post 2018 onwards. We have not planned to expand our footprint beyond our markets, but we remain open to further opportunities. Turning to the South African business on slide 44, the commodity price bust and muted economic growth has contributed to a depreciating rand, whilst increasing inflation has led to numerous interest rate hike. Despite these issues, the DTH base grew by a healthy 325,000 subscribers. Our top and middle end showed little growth, whilst the bottom end of the market showed robust growth. Penetration of personal video recorders grew by 11% over the prior year to 1.180 million. The PVR continues to drive stickiness in both the premium and compact segments through the provision of video-on-demand service in the form of our popular catchup service and box office. Customers with a PVR show a much lower propensity to churn. Whilst ARPU increased 2% year-on-year to ZAR344, in US dollar terms, it declined 17% to $24. This highlights the challenges we face as a large percentage of our content is paid in US dollars. Again, our hedging strategy and cost-cutting initiatives have helped maintain margins, levels comparable with prior years. But further cost-cutting containment initiatives will be pursued going forward. I now hand you over to Bob.
Bob van Dijk: Thanks a lot, Imtiaz. And before we close off today, I just wanted to look forward into the new financial year. So the themes you will recognize, we will continue to strive hard for leadership positions in our key e-commerce business models and we will do that globally. We will continue to target business models with high growth and that’s where we will allocate the majority of our assets and capital, so mainly towards e-commerce, online to offline and video entertainment. We will look to scale even further in established business segments. And fourthly, we will continue to be a mobile-first or mobile-only company. And we see app activity actually as a primary operating metric for our businesses. And finally, we will seek to further reduce development spend in our existing footprint and we want to improve unit economics continuously going forward. So with that, I want to close off and open up to participants on the floor for questions that you may have.
Operator: Thank you very much, sir. [Operator Instructions] our first question is from Edward Hill-Wood of Morgan Stanley. Please go-ahead.
Edward Hill-Wood: Good afternoon, everyone. I've two questions. The first just relates to investment levels. Investment kicked up last year. You spent $193 million on new projects such as letgo and ibibo and you signal in the statement that you're going to continue to invest aggressively. I was wondering whether or not you could maybe comment on whether or not you'd expect a significant acceleration in that rate of investment in 2017 and particularly into new areas or whether or not the bulk of the investment will go into existing areas? And how are you prioritizing that against potential disposals in the portfolio? And the second question relates to letgo in the US. There's some stats there which show a strong traffic in listings, particularly in the last few months. But could you discuss letgo's market position and maybe give us some insights into user behavior, demographics or whether or not you also see further consolidation required in the US? Thank you.
Bob van Dijk: Yeah. Thanks, Edward. I will answer your first question and I’ll hand over to Martin to cover your letgo question. So I think what you see in terms of new model, it is very much driven by our strong belief in those particular models we added. And I think we – based on what we’ve seen in the last year, actually very encouraged with the progress of both letgo and the hotel business in ibibo. So we’ll continue to fund that. I think how exactly those funding levels will develop is very hard to say and will depend on progress and, in many cases, as in the past, if we get encouraged, we might well explore other markets. So I think you will see that with these models, we’ll continue to back. How it develops in the future remains to be seen, but I would say, so far, encouraging. And if it continues to do well, we may invest more. So when it comes to – the second part of your first question was around, how do you prioritize this versus potential disposals. We take a very structured approach to that where we look at a portfolio, if we see a potential for better capital allocation, we’ll do so. We’ve done a number of those in the past and we’ll continue to look very critically at places where we believe it’s better to reallocate capital.
Martin Scheepbouwer: Right. So with regards to your second question around letgo in the US, the way we look at that business is that historically Craigslist has been the strong classifieds incumbent in the US and letgo has made good inroads into, what we call, app-only segment, which used to comprise about a dozen companies a year ago, which we now believe after the merger will be down to us and OfferUp, which at this point is considerably larger, driven by the fact that they started much earlier. And that will be the first focus of this merged team, to pursue an aggressive growth strategy, combining the best of letgo and Wallapop. And we'll see where it gets us.
Bob van Dijk: Does it answer your question, Edward?
Edward Hill-Wood: Yeah. No, it did. But maybe just in terms of – if you could just give us some insight into maybe how people, using that sort of demographics you're seeing, maybe a little bit of geographical bias relative to maybe OfferUp, is there any sort of color you could give us about how the service is developing in the US?
Martin Scheepbouwer: What I can say is that letgo has a national focus. So we – most of our marketing spend is deployed on the national level. And on that level, as I mentioned, OfferUp is still considerably larger. And that gap, we want to shrink.
Edward Hill-Wood: Okay, thank you very much.
Operator: Thank you. Our next question is from David Ferguson of Renaissance Capital. Please go ahead.
David Ferguson: Hi. Good afternoon, everyone. So I've got two questions please. Firstly, on classifieds, can we talk a little bit about OLX India? So, I guess, overall, for OLX, you've shown a material reduction in development spend. But for India specifically, is development spend increasing or decreasing? And then, in the case of OLX India, is this something that can reach breakeven on an 18-month, two-year view or do we need to think much further afield? So that's the first question. And then secondly, on PayTV overall, can you talk about the flexibility you have in the cost base? And maybe actually, you can quantify the extent to which you can make savings in that business? That's it. Thank you.
Martin Scheepbouwer: All right, yes. It's Martin here. Quickly, your first question, OLX India. So I think on the back of the slide 34, it's obvious that we'll aim to reduce marketing spend in that market. The competitive battle against Quikr is over in our view. So we'll still choose and spend better to mature the market. And that will take some years during which we can monetize lightly. We can charge for professionals and do some advertising. But in terms of monetization we've seen elsewhere in Poland or Russia or the UAE, that's at least a few years out.
Imtiaz Patel: Okay. On the PayTV side, we have a lot of research and data that starts giving us viewership statistics. And a big area of focus is to ensure that we only have content that performs well. Non-performing content will be cut and cut very, very aggressively. We've spent a lot of money on developing the data and research that goes into our set-top boxes. And then secondly, in many of our contracts, we have what we refer to as currency devaluation clauses. When those currencies go south dramatically, we do have some default there that works in our favor.
Bob van Dijk: All in all, David, it’s hard to quantify the exact outcome. But as we also have sport content on the other hand, which is very important to us and where price – content cost has certainly not gone down.
David Ferguson: Okay, that’s great. Thanks very much.
Operator: Thank you. Our next question is from Cesar Tiron from Bank of America. Please go ahead.
Cesar Tiron: Yes. Hi, everyone. I have two questions. First, thank you very much for the increased disclosure. That was really helpful. My two questions, so the first one is, following the merger of letgo and Wallapop and what you've done with Schibsted as well, do you see any scope to be active in other markets in terms of consolidating the classified segment without necessarily naming the countries? And then second, you disclosed that marketing spend in classified was down 13% in dollars. But I assume that in local currency, it means that it's up, right? So the right way to think about it is basically marketing spend in classified going to stay at the same levels where it is today and these businesses will be profitable whenever they will be able to generate revenues? Is that the right way of thinking or do you think that there is room to further decline the level of marketing spend? Thank you so much.
Martin Scheepbouwer: All right, it's Martin here. So regarding your first question around further consolidation, I think we're happy with the economic impact from the Schibsted JV formation a few years back. We expect to accelerate letgo’s top leadership in the US with this merger. But at this point, yeah, we would focus on execution and it's speculative to talk about other mergers. With regards to marketing spend, what I can say is that much of the marketing spend is driven by a country like India and the rupee hasn't really plummeted against the dollar. So I think it's fair to say that on a comparable basis, marketing spend has come down considerably whether you measure it in local currency or in dollars driven by aforementioned Schibsted JVs and operational efficiencies.
Cesar Tiron: Thank you very much.
Operator: Thank you. Our next question is from Chris Grundberg of UBS.
Chris Grundberg: Thanks very much. I've just got a couple on video entertainment, if I may. Just you mentioned competition a couple of times. And specifically, I guess, if you could elaborate on that, that would be helpful. If you can give any color on the DTH competition, if any, especially in Sub-Saharan Africa? You mentioned that it was permeating itself in content cost increases. I'm assuming that's the only place. I wondered if there was any competition pressures in pricing as well. So just some comments on that would be helpful. And then, just on the South African business, just wondering if you have any evidence as yet of any impact at all from the launch of the VOD players, either ShowMax or Netflix on your DTH base. I would assume not or not much. But if you can just confirm that, that would be helpful. Thanks.
Imtiaz Patel: Okay, this is Imtiaz. On the DTH competition side, we've seen a new player, Econet, it has been quite robust. They've acquired the rights to the NBA. They've acquired some rights to Australian cricket, which is public knowledge. So there's no question that there's a lot of robustness on the competitive space, especially on the sports rights side. StarTimes runs the DTH operation. We haven't seen lots of activity there, but they have acquired the Bundesliga and a number of other sports rights. So quite a bit of activity there as well. On the pricing side, StarTimes has been very aggressive. So that does create pressure on the top line. And then in the South African business, with regards to [indiscernible] there's quite a few VOD players who have been pretty active, but we haven't seen any impact on our business to date.
Chris Grundberg: That's helpful. Thanks.
Operator: Next question is from Jonathan Kennedy-Good of SBG Securities.
Jonathan Kennedy-Good: Good afternoon. Just a few questions on letgo/Wallapop, the JV formed. Would that only apply in the US, i.e., would letgo be able to go it alone 100% held by Naspers outside of the US? And has there been a push in countries outside of the US yet? And just following up from an earlier question, given you're targeting letgo on a national level, the $100 million number that was out there in terms of development spend for the business, could we expect that to accelerate given some of the early results you've seen out of the business?
Martin Scheepbouwer: Hey, it's Martin back again. So you’re right on the former. So this is only US merger. So we hold 100% of letgo – our holdings in letgo elsewhere are not affected. And then with regards to the US investments, yes, so what we've put in to date is public and what we'll put in going forward is what is required to pursue an aggressive growth strategy. And, yeah, considering the opportunity in the market, if we see good traction, then we will consider raising the investment level.
Jonathan Kennedy-Good: Thank you.
Operator: Thank you. Our next question is from Richard Tessendorf of Avior Capital Markets. Please go ahead.
Richard Tessendorf: Good afternoon. Just two for me, please. Firstly, Basil, I know you mentioned there's a lot of room in the RCF, but just how do we think about the bond that comes due next year in terms of potentially refinancing that? And then my second question is just around Eastern Europe and specifically eMAG. Can you give us a bit of context in terms of, is there a lot of regional expansion for that platform at the moment? Is there scope for collaboration with Allegro? Just a bit of color around that region.
Basil Sgourdos: So, Richard, with the bond, we don't need to make a decision now. There's a long way to go and a lot of movement in the market. So I can't give any guidance as to what we might do. The bottom line is our net gearing is at 12%. We have great flexibility. So I think we have a lot of choices. And as we get closer, we'll give some clarity.
Oliver Rippel: Hey, Richard, it's Oliver. With regards to your question on eMAG, so eMAG has actually already started to expand into other markets in the Central Eastern European region. So most noticeably, they launched in Bulgaria, which is neighboring to Romania, so they can leverage also some of the logistics setup. They have launched in Hungary. And also they have taken over the Agito business that Naspers has invested in a few years back. So it is actively turning from a local stronghold into a regional stronghold.
Richard Tessendorf: Okay, great. Thank you.
Operator: Thank you. Our next question is from Jarrett Geldenhuys of Investec. Please go ahead.
Jarrett Geldenhuys: Thanks very much for the call, everyone. I just wonder if you can help me out with my understanding of your TV-based hedging policy. If I look through some of the slides, it looks around $400 million to $500 million is hedged on that basis. But your dollar content cost is closer to the $800 million level, if you can just reconcile the two. I know one is a net basis, I just want to make sure that there isn't a hedging gap that I'm misinterpreting. Thanks very much.
Basil Sgourdos: Thanks, Jarrett. To be clear, we hedge out up to 24 months in our South African business. And we're actually now fully hedged on the net exposure. So we have a dollar content cost, but we also have dollar inflows coming from the settlement from Sub-Saharan Africa. So we hedge the net amount, which is the net exposure, and we cover that fully. In Sub-Sahara Africa, we can't hedge and there we focus on cutting costs and reinvigorating growth to deal with the impact of currency.
Jarrett Geldenhuys: Right. So if I can just ask a follow-up question then, does that assume then that the cash flows which you're recognizing from Sub-Saharan Africa, you are seeing as dollar cash flows, to make up that net number?
Basil Sgourdos: Well, no. Basically, what happens is, when we actually convert the money and we take it out in dollars, we actually sit on those dollars, right? And then we use the dollars to actually pay off expenses. Historically, we have looked at those cash flows, historic cash flows, which we push through price increases. And I think, going forward, we can, depending on our ability to reinvigorate growth and take costs out of the business.
Jarrett Geldenhuys: All right. Thank you very much.
Operator: Thank you. Next question is from John Kim of Deutsche Bank.
John Kim: All right. Two questions. Going back to the B2C businesses, can you give us some color in terms of a target mix of 1PL versus 3PL in terms of GMV and revenue? Ideally, what I want to, is what your blended target margins for this cluster going forward? Thank you.
Oliver Rippel: Hi. This is Oliver again. So it really comes down to like the local circumstances. And it's actually a category-by-category decision. So some categories are more prone to first party, other categories are more long-term in nature, so they're more open to third-party. And so, we don't really have a specific target number. I think it goes back to the fundamentals of B2C, which is to basically provide the most relevant selection at the best prices and the best quality of service. And whatever sort of like works out in a local context, that's what the local team staff is doing.
John Kim: And switching gears slightly, talking about the payments business, can you give us some more color on progress and strategy here? As you highlight in terms of one of your early slides about market leadership, payments is not as strong as some of the other verticals. I'm wondering what are priorities here. Is it geographic expansion? How are you looking to rectify that?
Bob van Dijk: Yeah. So I can answer that. We just appointed a new CEO, Laurent le Moal. He’s not on the call. I think the strategy we have in payments is really twofold. So we’ve traditionally focused primarily on the payment service provider business where we see actually very strong organic growth in our current footprint and we see the potential to even accelerate that growth and, at the same time, reducing our cost base. So we're pushing that business to profitability, while we're accelerating growth. But at the same time, we're seeing a number of opportunities to offer financial services, say, for example, installment loans on e-commerce properties and other higher value-added products that are very natural expansions from the payment service provider business. Those are really the two simultaneous tracks that we are developing in payments and we're seeing good initial traction on that.
John Kim: Okay. Thanks very much.
Operator: Thank you. Our next question is from Alexander Balakhnin from Goldman Sachs.
Alexander Balakhnin: Hi. Good afternoon. Two questions from me. You mentioned you have 21 profitable e-commerce entities in the portfolio. Well, apart from Allegro and Avito, I was wondering how much they cumulatively generate in EBITDA and revenues, if you can – well, EBITDA, obviously. If you can give that number or magnitude of the number for ex Allegro and Avito which are profitable? And second, as you have the FX pressure in South Africa and you now hedge your FX exposure at a lower FX rate, historically, you were able to raise prices for South African PayTV business. Do you plan to pass through some of your content cost inflation on to the consumer? Your thoughts on that would be also helpful, thank you.
Oliver Rippel: So on the first one, we certainly have other businesses outside of Allegro and Avito that are delivering good revenues and sizeable profits, including our UAE classifieds business and several others. So it's not just those two. And they're all scaling and margins are coming through quite strong. I won't give you a deeper analysis than that.
Basil Sgourdos: And I can take the second question. Look, I think we have done a modest price increase in South Africa in the year that was. And the reality is, going forward, it's really hard to predict what happens to the rand, it's hard to predict what happens to content cost. I think, over time, we have to find a way that when content costs go up, we have to reflect that in prices over time. How that exactly will develop is extremely hard to say.
Alexander Balakhnin: But, basically, you now hedge at a higher rate than historically you did. And, obviously, now rand is maybe like 30%, 40% weaker than it was three years ago. So that's pretty much a reality. Outside of that, what sort of pass-through effect did you have on to the consumer? And do you plan to raise prices slightly more to account for your de facto higher costs or the market doesn't allow that, you would reckon?
Bob van Dijk: So we don't comment on future price increases. That is something we can't do. What we can do, and we actually have the team very much focused on this, is focus on other costs. So we've taken out massive amounts of SG&A costs, as well as what Imtiaz mentioned, pruned our content portfolio wherever we could. So I think we've actually managed to retain our margins quite well in the face of these developments. And that's probably the best answer I can say without being able to look into the future.
Alexander Balakhnin: Okay. Thank you.
Operator: Thank you. Our next question is from [indiscernible] of HSBC. Please go ahead.
Unidentified Analyst: Hi, everyone. Thanks for taking my questions. I've got a question for Martin please. And it’s got to do with the Stradia and Storia real estate and car vertical apps that you would like to scale up across your footprint. In Poland, obviously, having the horizontal as well as the verticals is driving good economics. How should we see your app development in these verticals playing out in other markets, like India, Brazil, Indonesia, et cetera? Could we just get a bit more color on what you aim to achieve by having a horizontal app as well as a real estate and auto app in the same market? What are the benefits of that? Thank you.
Martin Scheepbouwer: Thank you for the question. I think the benefits are best illustrated by what we did in Poland where we were able to serve all the user needs by launching a vertical as a flanking format to a horizontal, which is always going to be the core of what we do. It allows us to better monetization, especially most professionals. That’s why we launched a Stradia format in India, modeled on our horizontal verticals and in Storia format in Indonesia. And we’re looking at other markets, just the same. And it won't be everywhere, but where we see opportunity to increase our share of market, then we will launch these formats alongside OLX.
Unidentified Analyst: Okay. In your view, is this the best strategy to maximize monetization in the classifieds world, having several apps instead of one super dominant app that maybe does everything in one?
Martin Scheepbouwer: Yeah. There are several ways to get to Rome. And horizontal [indiscernible] long way to monetization. But our experience from Europe is that with a vertical next to it, which runs at fairly low cost, one can increase share of wallet, especially among professionals.
Unidentified Analyst: Okay, excellent. Excellent, thank you. Thank you, Martin.
Operator: Thank you very much. Gentlemen, it appears as if we have no further questions in the queue at the moment. Do you have any closing comments?
Bob van Dijk: If there are no further questions, then I wanted to thank everybody for dialing in today and I hope to see you sometime soon in the future. Thank you.
Operator: Thank you very much, sir. Ladies and gentlemen, on behalf of Naspers, that concludes this conference. Thank you for joining us. You may now disconnect your lines.